Operator: Good morning, and welcome to the Mercantile Bank Corporation 2024 Third Quarter Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Nichole Kladder, First Vice President, Chief Marketing Officer of Mercantile Bank. Please go ahead.
Nichole Kladder: Good morning, and thank you for joining us. Today we will cover the company's financial results for the third quarter of 2024. The team members joining me this morning include Ray Reitsma, President and Chief Executive Officer; as well as Chuck Christmas, Executive Vice President and Chief Financial Officer. Our agenda will begin with prepared remarks by both Ray and Chuck and will include references to our presentation covering this quarter's results. You can access a copy of the presentation, as well as the press release sent earlier today by visiting mercbank.com. After our prepared remarks, we'll then open the call to your questions. Before we begin, it is my responsibility to inform you that this call may involve certain forward-looking statements such as projections of revenue, earnings and capital structure, as well as statements on the plans and objectives of the company's business. The company's actual results could differ materially from any forward-looking statements made today due to factors described in the company's latest Securities and Exchange Commission's filings. The company assumes no obligation to update any forward-looking statements made during the call. That is all I have for you today. I will now turn the meeting over to our President and Chief Executive Officer, Ray Reitsma. Ray?
Raymond Reitsma: Thank you, Nichole. My comments will focus on our significant reduction in the loan-to-deposit ratio, very strong local deposit growth, strong local loan growth, excellent asset quality and steadily growing non-interest income. Over the last three years, commercial loan growth and mortgage loan growth has been strong and while deposit growth has been solid, it has not kept pace with loan growth. As a result, the bank's loan-to-deposit ratio increased to 110% at year-end 2023. We believe the bank's elevated loan-to-deposit ratio is a contributing factor to our below peer valuation despite a strong return profile. The following comments summarize the strategies we believe will contribute to further reductions in our loan-to-deposit ratio. We have undertaken a three pronged approach to building our deposit base with the objective of reducing the loan-to-deposit ratio into the mid-90% range over time. First, we have broadened our focus on business deposits, including entities that have limited or no borrowings. Second, we plan to grow in the governmental and public realm through strategic personnel additions with existing relationships in this space. Third, we are growing the retail customer focus based on total balances as opposed to activity hurdles such as transactions or card usage. These efforts led to an increase in local deposits in the first three quarters of 2024 of approximately $600 million, a 21% annualized growth rate. Local deposits grew $339 million in the third quarter alone. Mortgage loans on the balance sheet have grown substantially over the past few years as borrowers have opted for ARMs rather than fixed rates in the increasing rate environment. We have successfully executed changes within our portfolio mortgage programs, resulting in a greater portion of our mortgage production being sold rather than placed on our balance sheet. The positive outcomes include a 49% increase in mortgage banking income during the first nine months of 2024 compared to the respective 2023 period, and a nominal increase in mortgage loans on our balance sheet of $7 million year-to-date. Commercial loan growth in the first three quarters of 2024 was $233 million, or 9% annualized. The current pipeline stands at $236 million, slightly below the trend line established over the last three quarters, reflecting the strong funding activity in the third quarter. Commitments to fund commercial construction loans totaled $241 million in residential construction loans of $34 million at quarter end. Customer reductions in loan balances from excess cash flow or asset sales of $106 million also impacted our commercial loan totals. Taking these factors into account, we expect a slight deceleration in the commercial loan growth in the immediate future. Taken together, these strategies produced a loan-to-deposit ratio of 102% as of September 30, 2024, compared to 110% at year-end 2023 as deposit growth was approximately double, total loan growth year-to-date. The ratio reduces to 97% when giving effect to our sweep account balances. During this period, the ratio of wholesale funds to total funds decreased from 14% to 11%, another demonstration of the strengthening of the funding side of the balance sheet. Asset quality remains very strong as nonperforming assets totaled $9.9 million at quarter end or 17 basis points of total assets consisting of 32% residential real estate and 68% non-real estate commercial loans. There is no commercial real estate representation among the nonperforming assets. Past due loans and dollars represent 13 basis points of total loans and there is no outstanding ORE. Non-owner occupied office exposure is $271 million or 6% of total loans. The borrowers in this asset class have performed well and continue to be monitored closely. We remain vigilant in our underwriting standards and monitoring to identify any deterioration within our portfolio. Our lenders are at the first line of observation and defense to recognize areas of emerging risk. Our risk rating model is robust with continued emphasis on current borrower cash flow, providing prompt sensitivity to any emerging challenges within a borrower's finances. That said, our customers continue to report strong results to-date and have not begun to experience the impacts of a potential recessionary environment in any systemic fashion. Total non-interest income grew 27% during the first three quarters of 2024 compared to the first three quarters of 2023, with growth reported in several categories. Mortgage banking grew 49% based on the strategies outlined earlier and the resulting ability to sell a greater portion of originations on the secondary market. Service charges on accounts grew 46%, reflecting higher activity levels and customer growth and less earnings credit offset to charges based on reduced balances in transaction accounts. Payroll services grew 20% as our offerings continued to build traction in the marketplace. Finally, credit and debit card income grew 3% when adjusted for the receipt of a one-time payment from Visa associated with our contract renewal in the second quarter of 2023. Income from interest rate swaps declined 8% as demand for interest rate protection by borrowers shifted with the borrowers future rate expectations. That concludes my comments. I will now turn the call over to Chuck.
Charles Christmas: Thanks Ray. This morning we announced net income of $19.6 million, or $1.22 per diluted share, for the third quarter of 2024, compared with net income of $20.9 million, or $1.30 per diluted share for the respective prior year period. Net income during the first nine months of 2024 totaled $60 million, or $3.72 per diluted share compared to $62.2 million, or $3.89 per diluted share, during the first nine months of 2023. While noninterest income increased during both periods, net income was negatively impacted by expected lower net interest income and increased noninterest expenses. Provision expense was lower during the third quarter of 2024 when compared to the third quarter of 2023, and was the same during the first nine months of 2024 as it was during the first nine months of 2023. Interest income on loans increased during the third quarter and first nine months of 2024 compared to the prior year periods, reflecting the increased interest rate environment and solid growth in commercial and residential mortgage loans. Our loan yield during the third quarter of 2024 was 32 basis points higher than the third quarter of 2023, with average loans up about 10% over the respective periods. The improved loan yield largely reflects the combined impact of a 25 basis point increase in the federal funds rate in July of 2023 and over two-thirds of our commercial loans having a floating rate, along with strong commercial and residential mortgage loan growth over the past 15 months in the higher interest rate environment. The 50 basis point reduction in the federal funds rate in mid-September partially mitigated the higher levels of loan yield and interest income on loans for the quarter. Interest income on securities also increased during the 2024 periods compared to the prior year periods, reflecting growth in the securities portfolio and the higher interest rate environment. Interest income on interest earning deposits, a vast majority of which is comprised of funds on deposit with the Federal Reserve Bank of Chicago, also increased during the 2024 periods compared to the prior year periods, reflecting a higher average balance and an increased yield. In total, interest income was $12.3 million and $41.5 million higher during the third quarter and first nine months of 2024, respectively, compared to the prior year periods. We recorded increased interest expense on deposits and our sweep account product during the third quarter of - third quarter and first nine months of 2024 compared to the prior year periods, reflecting the increased interest rate environment, money market and time deposit growth and transfers of deposits from no or low costing deposit products to higher costing deposit products. Our cost of deposits during the first quarter of 2024 was 85 basis points higher than the third quarter of 2023, with average deposits up about 13% over the respective periods. Interest expense on Federal Home Loan Bank of Indianapolis advances during the third quarter of 2024 was similar to that of the third quarter of 2023, reflecting an offsetting lower average balance and higher average cost. Interest expense on the Federal Home Loan Bank of Indianapolis advances during the first nine months of 2024 was higher than during the first nine months of 2023, reflecting a higher average balance and average rate. Interest expense on other borrowed funds during this 2024 periods was similar to the prior year periods. In total, interest expense was $12.9 million and $43.6 million higher during the third quarter and first nine months of 2024, respectively, compared to the prior year periods. Net interest income declined $0.7 million and $2.2 million during the third quarter and first nine months of 2024, respectively, compared to the prior year periods. Impacting our net interest margin is our strategic initiative to lower the loan deposit ratio, which generally entails deposit growth exceeding loan growth, and using the additional monies to purchase securities. A large portion of deposit growth is in the higher costing money market and time deposit products, while the purchased securities provide a lower yield than loan products. Our net interest margin declined 46 basis points during the third quarter of 2024 compared to the third quarter of 2023. Although our yield on earning assets increased 30 basis points during that time period, our cost of funds was up 76 basis points. While we experienced rapid growth in earning asset yield during the period of March of 2022 through July of 2023, when the Federal Reserve raised the federal funds rate by 525 basis points, meaningful increases to our cost of funds did not begin to materialize until the latter part of 2022 when competition for deposit balances, increased deposit rates and depositors began to move funds from no and lower costing deposit types to higher costing deposit products. Our net interest margin peaked during the latter part of 2022 and early stages of 2023. While loans increased $249 million during the first nine months of 2024, or almost 8% on an annualized basis, deposits grew $555 million or about 19% on an annualized basis during the same time period, providing a net surplus of funds totaling about $300 million. We use that net surplus of funds to grow our securities portfolio $86 million and reduced our Federal Home Loan Bank of Indianapolis Advanced portfolio, $51 million during the first nine months of 2024. The remainder of the net surplus of funds is on deposit with the Federal Reserve Bank of Chicago with the deposit balance totaling $218 million as of September 30. We recorded a provision expense of $1.1 million and $5.9 million during the third quarter and first nine months of 2024, respectively. The third quarter 2024 provision expense, primarily reflects an increase in an environmental factor allocations and allocations necessitated by net loan growth, which were partially offset by decreases in the calculated allowance stemming from the payoffs of two larger problem commercial lending relationships. The provision expense recorded during the first nine months of 2024 also includes specific allocations for two nonperforming non-real estate-related commercial loan relationships that were established during the first and second quarters, along with allocations necessitated by net loan growth. Noninterest expenses were $3.4 million and $6.6 million higher during the third quarter and first nine months of 2024, respectively compared to the prior year periods. The increases largely reflect higher salary and benefit costs, including annual merit pay increases, market adjustments, higher residential mortgage lender commissions, lower residential mortgage loan deferred salary costs and increased medical insurance costs. Higher data processing costs also comprise a notable portion of the increased noninterest expense levels, primarily reflecting higher transaction volumes and software support costs, along with the introduction of new cash management products and services. We remain in a strong and well-capitalized regulatory capital position. Our bank's total risk-based capital ratio was $13.9 million at the end of the third quarter, about $211 million above the minimum threshold to be categorized as well capitalized. We did not repurchase shares during the third quarter of 2024. We have $6.8 million available in our current repurchase plan. On Slide 24 of the presentation, we share our latest assumptions on the interest rate environment and key performance metrics for the fourth quarter of 2024, with a caveat that market conditions remain volatile making forecasting difficult. This forecast is predicated on the federal funds rate being lower 25 basis points effective both on November 7 and December 18. We continue to project loan growth in the range of 4% to 6%. We are forecasting our net interest margin to be in a range of 3.35% to 3.45%. Our yield on earning assets and our cost of funds are projected to decline due to the recent and expected further reductions of the federal funds rate with additional compression likely due to our ongoing deposit growth initiatives. Expected results for noninterest income and noninterest expense are also provided for your reference. In closing, we are very pleased with our 2024 operating results and financial condition and believe we remain well positioned to continually successfully navigate through the myriad of challenges faced by all financial institutions. That concludes our prepared remarks. We will now move to the question-and-answer segment of this morning's call.
Operator: [Operator Instructions] Our first question comes from Brendan Nosal with Hovde Group. Please go ahead.
Brendan Nosal: Hi. Good morning, folks. Hope you doing well?
Raymond Reitsma: Thanks Brendan.
Brendan Nosal: Maybe just to start off here on the balance sheet, really strong loan growth on both sides of the sheet this quarter, and the liability side was particularly impressive. Maybe kind of digging a little bit deeper beyond the three-pronged approach that you guys laid out. Just kind of curious the drivers of the deposit growth for this quarter, in particular, especially as it relates to noninterest-bearing balances, that goes the first quarter of sequential growth for that category since mid-2022? Thanks.
Raymond Reitsma: Yes. Well, it really is driven by new client acquisition and the deposits that come along with those relationships and also to go into opportunities that aren't necessarily characterized predominantly by loan opportunities, but by deposit opportunities as well. And it's purely a matter of focus. Commercial bankers tend to go where loan opportunities are, and we're making a concerted effort to go where deposit opportunities are as well. When you look across the entirety of the deposit growth, if you look at what we expected compared to what we delivered and by expected, I mean, our budget at the beginning of the year. The growth is really spread across all three of the categories that I mentioned, but it's predominantly in the business banking deposits and that is really the strength of our company, and we've just tried to really tap into that vein in a deeper way over the course of the beginning of this year.
Charles Christmas: And Brendan, this is Chuck. In regards to the comment - question on noninterest-bearing deposit accounts, I think, first of all, we always have a lot - commercial bank there tends to be a lot of volatility in that deposit balance on a daily basis. But I think the increase is primarily reflective of seasonal factors as businesses start building up their deposit balances to fund anticipated bonus payments and tax payments towards the end of the year and early next year.
Brendan Nosal: Got it. That's super helpful color. Maybe one more for me before I step back. Just kind of curious how deposit pricing reacted in the immediate aftermath of the Fed's 50 basis point rate cut, both for your own book and just the market at large.
Charles Christmas: Yes. I think we were reflective of the market. It was pretty consistent that the positive pricing on items such as money market accounts and CD products went down about 50 basis points, similar to the decline in the Fed funds rate. And so we see a lot of consistency in our marketplace currently.
Brendan Nosal: All right. Fantastic. Thank you for taking the questions.
Charles Christmas: You’re welcome.
Operator: And the next question comes from Daniel Tamayo with Raymond James. Please go ahead.
Daniel Tamayo: Thank you. Good morning, guys.
Raymond Reitsma: Good morning.
Daniel Tamayo: Yes. Maybe just kind of following up on the conversation on deposits and then taking a step further into on the NIM. Just curious, I know you mentioned a lot of information on the deposits year-to-date and over the last 12 months, but did you mention what the cost of deposits was in the third quarter and specifically?
Charles Christmas: Are you talking about the growth or just the overall cost of the deposits?
Daniel Tamayo: Yes, just the rate.
Charles Christmas: Yes. I would say that that rates were probably closer to, I would say, 4.75 in the low 5s during the quarter, obviously, until the Fed reduced rates in mid-September. And then as I just mentioned, those rates came down about 50 basis points.
Daniel Tamayo: So you're talking about new - kind of new deposit costs with those rates?
Charles Christmas: Yes. What I would say for your money market, I would say that was the cost of the entire portfolio since obviously, those reprice whenever we move the rates. And the CD rates, that comment was what we were paying for new CD rates.
Daniel Tamayo: Got it. Yes. I was just curious if you had - like the blended rate of deposits in the third quarter.
Charles Christmas: I don't have that in front of me, Dan. I can certainly get that to you. I would say as you saw and as we commented on, a large percent of the growth was in the money market and time deposits. So I would say that, that that fact would have a big impact on the overall cost. But as we just talked about, we also saw some growth in noninterest-bearing deposits, which, of course, is going to help that calculation.
Daniel Tamayo: Understood. Okay. Great. And then your comment on additional NIM compression expected after the fourth quarter due to your strategic lowering of the loan-to-deposit ratio. Can you kind of just put some color around how you're thinking about what type of compression you might be looking at after the fourth quarter.
Charles Christmas: After the fourth quarter?
Daniel Tamayo: Yes. I mean just kind of - just curious what was going into your comments there about additional NIM compression.
Charles Christmas: Well, my comments specifically or what I thought would happen in the fourth quarter, again, taking into account what the Fed did in mid-September and what we think the Fed will do in November and December, I think as far as going in the future, I didn't make any specific comments or guidance today because we are as you might expect, right in the middle of putting our budget together. I would say on an overall basis, when we look at our simulation results and just our knowledge of the balance sheet notwithstanding additional deposit growth, which obviously we want, the compression that happened due to the Fed cut that we think is going to happen in the fourth quarter is primarily the fact that we expect 100 basis points within three months. As I look at what the market is projecting currently, which is equal to what the Fed has provided, in their guidance, we're looking at 25 basis points per quarter throughout next year. Obviously, a much slower pace than what we saw in the fourth quarter and expect in the fourth quarter of this year. With the projection that's out there now in the market for next year, from a rate perspective, we would expect the margin to stay relatively steady.
Daniel Tamayo: Okay. All right. That's helpful. I appreciate that. Sorry, I guess I misheard what your original comment was. I appreciate the clarification. And then just lastly --yes. Lastly, just on the credit side on reserves, kind of a steady increase in prior quarters until this quarter where you kind of stabilized around that [125] number. Just does that feel like a pretty good number for you guys given it looks like the economy is in a decent spot here. Just any kind of color you have on reserve levels going forward would be helpful.
Charles Christmas: Yes. Dan, as you know, and as you talk to - I'm sure all of your company is out there, the reserve is much more of an art than it is a science. We continue to be blessed with very strong credit quality. We basically are in a net neutral charge-off position over the last 10-plus years, which means a lot of our reserve is predicated on qualitative factors. As I mentioned in my comments, we did adjust one qualitative factor, specifically that was to increase the allocation factor associated with our C&I credit segment of our portfolio, nothing drastic. We look at the numbers. I know we provided an updated slide in our deck as well. We are seeing some - I don't want to overplay it, but we are seeing some softness in automotive industry as the big manufacturers have slowed new models coming out - which has a big impact on companies such as tool and die. So we have seen some degradation in that particular segment, so we decided to allocate some additional dollars going through that process. Also, as I mentioned, one of the benefits we definitely had in the third quarter was we had two 8 rated, but accruing commercial loan relationships that paid off that released about $1 million in reserve. So we obviously built that reserve up over time to account for those credits they paid off. So there was some give back there. I would say it's management's intention of keeping the reserve as strong as we possibly can. Obviously, taking into account the calculation rules that we have to deal with, as well as our ongoing assessment of the overall health of the loan portfolio, looking at great changes, levels of nonaccruals, past dues, charge-offs and those types of things.
Raymond Reitsma: Yes. If I could, I'd like to underscore Chuck's comment about the slight change in the automotive risk profile. The slide on Page 31 lays that out. But our risk rating from the end of 2023 to currently on that particular group moved from 4.17 to 4.49. So we recognize some deterioration. But in this environment, we're looking closely at everything and this is the group that stood out with a change of that magnitude. So I just kind of wanted to underscore that point about the slight change there.
Charles Christmas: And just for perspective, a 7-rated is watch list for us.
Raymond Reitsma: Yes, as far as average credit quality.
Daniel Tamayo: Okay. Well, guys, that's great color. I appreciate all that. And thanks for that Slide 31, that's helpful to give us a sense of size of those loans. That’s all I had. I’ll step back. Appreciate it.
Charles Christmas: Thanks Dan.
Raymond Reitsma: Thank you.
Operator: And the next question comes from Nathan Race with Piper Sandler. Please go ahead.
Nathan Race: Hi, guys. Good morning. Appreciate you taking the questions.
Raymond Reitsma: Good morning.
Nathan Race: Just going back to the previous question around kind of margin expectations for next year. I appreciate it's still a fluid time in terms of thinking about the forecast for 2025. But if I heard you correctly, Chuck, did you indicate that it's likely more of a stable margin outlook if there's more of a gradual Fed cutting cycle into 2025?
Charles Christmas: Yes, that's correct.
Raymond Reitsma: Exactly.
Nathan Race: Okay. Great. I'm just curious how you guys are thinking about money market deposit prices. In particular, when I look at some of your posted rates, it seems like you're still towards the top of the market relative to some competitors in your footprint. So just curious how you're thinking about that product pricing, in particular, as we get additional fed cuts going forward within the context of the goal in getting the loan-deposit ratio consistently around 95% going forward.
Charles Christmas: Yes, it's a great question. I think one of our strategies that this company has always been, since we opened, was to be in the top tier of deposit pricing. We obviously are very good at growing our asset base, our loan base. And we know we need to be competitive on the deposit side to bring in those deposits to help fund that loan growth. We also, as you know, we build ourselves, and we are a relationship bank. And what we tell our loan customers is that as part of our relationship, we're going to pay you to bring your entire wallet to us. So we want to be competitive on all of our deposits. And obviously, money markets has everybody's attention now and where I think the industry continues to see most of its growth notwithstanding that a lot of that money is coming out of lower cost in deposit products. That definitely has slowed down from what we saw 12, 18 months ago, but that is still some transition that we're seeing within our balance sheet. I think that one of the things that we talk about with our money market account customers, when we talk to them, when we're opening up their accounts that in large part, this rate is going to be tied to the Fed funds rate. As a matter of fact, some of those accounts are by agreement - by deposit agreement are actually tied to the Fed funds rate. But even if they're not, we have conversations with those depositors that the rate that we're paying on our money market account would be heavily influenced by whatever the Federal Reserve may do. So we did lower - as I mentioned, we did lower those rates by 50 basis points. And I think that was from all indications that was widely accepted by the depositors. So not expecting any concern if the Fed continues to lower interest rates, we will continue to look to lower the money market rate as well, again, in a fairly equal manner. And that's - at least for the first 50, that's what we have seen our competitors do as well.
Nathan Race: Got it. That's very helpful. Great color. Maybe just one last one for me. You guys continue to build capital at pretty strong clips. And as Ray alluded to in his prepared comments, you guys are still trading at a discount to peers. So just curious, how you guys are thinking about maybe potentially stock buybacks going forward?
Charles Christmas: I'll probably just kind of repeat what we've said before in our capital, we think it makes sense to have as much capital that buffers our company. If there's anything that's a potential significant downturn in the economy, it's always good to have extra capital. And when we look at the environment that we're operating in, which is very difficult to predict, and we just think it's a good practice and good governance of our balance sheet to maintain strong capital positions. So I think the stock buybacks are there. We have a plan. We have an active plan. We have the ability to buy back shares. But at least as we go through the current environment, look at our balance sheet, as we talked about, we've seen some solid loan growth. And of course, that puts pressure on capital ratios as well, good pressure. Good pressure to have. But we want to make sure that we've got enough capital if there is a rainy day that's coming. We want to make sure that we've got sufficient capital to support our growth, especially commercial loan growth, which, of course, on a risk-weighted basis is more expensive than other types of growth. We continue to pay what we believe is an appropriate cash dividend and we want to continue to maintain that cash return to our shareholders as well. So it's a good question. It's something that executive management, the Board talks about every quarter. But I think right now, we're comfortable with our current capital position. And clearly, we'll look at our stock price. And if the opportunity presents itself that we think it's a good buy from a valuation standpoint, we're ready to step in at any point in time. But where we are currently, we're comfortable with continuing to grow the capital base as we have been.
Nathan Race: Okay, understood. I appreciate the color. Thanks, guys.
Charles Christmas: You're welcome.
Operator: [Operator Instructions] Our next question comes from Damon DelMonte with KBW. Please go ahead.
Damon DelMonte: Hi, good morning, guys. Hope everybody's doing well today. And thanks for taking my question. So just Chuck, for you. Just wanted to understand a little bit better the dynamic on the balance sheet here. If you guys are continuing to grow deposits and it's outpacing obviously the pace of loan growth, should we be forecasting then higher security balances and higher cash balances over the coming quarters?
Charles Christmas: Yes, I think that's exactly what you should do, Damon. That is definitely my expectation as we talked about, as you can see in the deck, we definitely have been building the securities portfolio, which obviously is the offset to - is part of lowering the loan-to-deposit ratio. So we're - I'm not all that excited about keeping over $200 million at the Fed, but we want to make sure that we're using those monies effectively. So we're growing our securities portfolio, probably, I would say about $10 million a month and obviously, we can change that at any time. But we pretty much have been on that pace. Don't expect at this point in time to change that pace. So that - I bring that up because that is one of the impacts of how much money we have at the Fed.
Damon DelMonte: Got you. Okay. And then so despite the kind of the lower guide on the margin, do you feel like you can kind of hold NII relatively flattish, maybe kind of ease some of the pressure just given the larger balance sheet then?
Charles Christmas: Yes. I think we actually had the opportunity as we just saw in the third quarter we could actually increase net interest income. Clearly, our strategy to lower the loan-to-deposit ratio has a negative impact on performance measures such as margin, return on average assets, those types of things. But when you're looking at just the pure income statement, it still has a positive impact on the bottom line net income number. And so I wouldn't expect that to change at all. And while certainly, if the Fed continues to lower rates, which looks like they're on that path and the degree and the timing obviously is up in the air, that will put some pressure on our loan yields. But we also have securities portfolio that has quite a bit of maturities coming up over the next several years that has the opportunity to reprice in a very significant way. Obviously, on the flip side, on the liability side, we'll have CDs that on average next year, to put things in perspective, are looking at a 4.6% current rate, and those should reprice down meaningfully. And we don't have a lot, but we do have some fixed rate loans on our books, especially on the commercial side that loans that are going to mature next year, to put things in perspective, is a 4.3% average rate currently. So some opportunities, some repricing opportunities on the good side as well that we believe should offset, neutralize anyways, any yield pressure that we see because of reduction in the Fed funds rate.
Damon DelMonte: Got it. That's great color. Do you happen to have a dollar amount on the fixed rate loans that you expect to mature in '25?
Charles Christmas: Yes, it's $150 million, and on the liability side, between time deposits and FHLB advances, we have about $700 million at 4.6%.
Damon DelMonte: Got it. Okay. Great. I appreciate that color. And then I guess just lastly, with rates moving down a little bit, it seems like the mortgage banking was stronger than we were looking for this quarter. I guess, what's your outlook here over the back half of this year? Do we expect normal seasonality in the winter months? Or do you think that the lower rate environment will spur enough activity to kind of keep that line item moving positively?
Raymond Reitsma: Yes. It's been an interesting year because during the typical peak summer season that we experienced here in Michigan, our mortgage activity was at a given level. And then when the rates dropped in the fall, the seasonality that you typically expect to see didn't occur. It actually bumped up a notch. So as we sit here right now today, the backlog looks similar to what we had during this summer. So I think we'll see a little bit stronger late fall fourth quarter, I guess, than we typically would seasonally and how much more so depends on what happens with rates. But we certainly saw an uptick when rates got a bit better, and it was strong enough to kind of overwhelm what's the usual seasonal pattern.
Damon DelMonte: Got it. Okay, that's great. That's all that I had. Thank you very much.
Raymond Reitsma: Thanks, Damon.
Operator: And the next question comes from Brendan Nosal with Hovde Group. Please go ahead.
Brendan Nosal: Hi. Just one follow-up for me. I guess, getting back to your comments on excess deposit growth being placed into securities for the time being. Just kind of curious how you think about the trade-off versus - investing into security versus reducing wholesale borrowings more meaningfully?
Charles Christmas: Yes. I think we're definitely looking at reducing our wholesale funding portfolio. Clearly, we don't have a need to have those types of funds on our balance sheet in general when we're bringing in as much deposits as we were. Now one of the things, I will say, is the Federal Home Loan Bank advance portfolio that is, in part, in a large part, historically been used to offset the interest rate risk associated with doing fixed rate loans. Like I said, we don't do a lot of fixed rate loans, but we do some, typically five-year balloons on the commercial side. So we do occasionally go to the Federal Home Loan Bank and obtain five-year advances to match fund that. That's something that we will continue to do. But I would say, in general, if we have the surplus of funds, like, I explained that we had in the third quarter, in general, we don't really see a need to have wholesale funds on our books. And as those come up for maturity, we definitely look to retiring those, if you will, without replacing them with new funds. But obviously, that's a dynamic situation, and we'll continue to look at our overall balance sheet as those events do take place.
Brendan Nosal: Yes. Makes sense. All right. Thank you for taking the follow up.
Charles Christmas: You’re welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ray Reitsma for any closing remarks.
Raymond Reitsma: Just want to thank you for your participation in today's call and your interest in Mercantile Bank and that concludes today's call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.